Operator: Welcome to the Vimian Group Q4 Report 2025 Presentation. [Operator Instructions] Now I will hand the conference over to the speakers, CEO, Alireza Tajbakhsh; and CFO, Carl-Johan Zetterberg Boudrie. Please go ahead.
Alireza Tajbakhsh: Good morning, everyone, and welcome to Vimian's 2025 Year-end and Fourth Quarter Earnings Call. I'm Ali Tajbakhsh, the new Group CEO since end of last year after leading Veterinary Service segment for the past 4 years. To give you some background, during my 4 years as Head of Veterinary Services, the business developed from a Northern European purchasing organization into a global service platform with over 10,000 member clinics. I personally experienced Vimian's ability to attract talent and entrepreneurs and take something relatively small with potential and build it into global scale market leader. I'm a firm believer in our strategy of organic and acquisition-driven growth, and we operate in an exciting and resilient industry going through change. I know the sector, the customers, the business and our organization well, and I'm confident about our industry and Vimian's future. We will now go through Vimian's full year and fourth quarter, and Carl-Johan will later give you deeper insights into the financials. Looking back at full year 2025, Vimian delivered revenue growth of 13% and adjusted EBITA growth of 11%. We saw broad-based growth across most of our businesses, not least in specialty pharma, veterinary services and our MedTech dental businesses. We also put in focused efforts to address the headwinds within MedTech orthopedics, in particular, in the U.S. In fall, we received a positive judgment in the U.S. indemnification process and all our counterparts have now, as per year-end, paid us in full share. The year also delivered a strong operational cash flow of EUR 105.7 million, corresponding to a cash conversion of 101%. Last but not least, we also completed the list change to NASDAQ Main Market, where we are now a large cap company. Going deeper into Q4 and looking at the quarter, we delivered a solid finish to 2025 with 6% organic growth and 6% adjusted EBITA growth. Excluding currency effects, adjusted EBITA grew by 12%. We saw continued momentum within our Specialty Pharma segment. We saw a strong finish with MedTech dental, while active measures were taken in the quarter within MedTech orthopedics. Veterinary Services continued to perform at scale, reaching over 10,000 members. And in the quarter, we increased our M&A activity with 3 acquisitions across 3 different segments and expanded our M&A pipeline in the past few months ahead of 2026. I-Vet, an important milestone for our Diagnostics segment was signed just before Christmas and is an acquisition to strengthen the companion animal offering within that segment. The quarter also delivered strong cash conversion. Looking at Q4, we had 4% revenue growth to EUR 109 million. Our organic revenue growth was 6%, driven by Specialty Pharma, Veterinary Services and our MedTech dental business. 3% contributions from acquisition, and we saw a 4% negative impact from currency movements, in particular, the movements within U.S. dollars. We improved our margin by 60 basis points versus Q4 2024, driven by bolt-on acquisitions and delivered 6% adjusted EBITA growth for the quarter. And as I said before, excluding currency effects, adjusted EBITA grew -- growth was 12%. Looking at Specialty Pharma, we continue to see positive performance in the fourth quarter with 6% organic growth following an exceptionally strong Q4 '24, where we reported 22% organic growth. Normalizing the positive effects from the national sales campaign in the U.S. in the fourth quarter 2024, the underlying organic growth was double digit in the fourth quarter this year. All 4 therapeutic areas delivered growth in the quarter with the strongest contribution from our dermatology portfolio. Overall, organic growth continues to be driven by our innovation, cross-sales activities and veterinary education. Adjusted EBITA grew 4% or 7% adjusted for currency effects to EUR 13.8 million, which is an all-time high quarter for us. The margin improved from 29.4% to 30%, driven by revenue growth at stronger gross margin. For the full year, Specialty Pharma grew 6% to EUR 182.4 million and adjusted EBITA by 10% to EUR 53.9 million. In January, our Head of Specialty Pharma, Magnus announced his departure after 10 years in the company. I believe the business stands strong and a recruitment process for a successor is ongoing, and we've secured a strong transition plan with Carl-Johan as Interim Head of Specialty Pharma. As Interim Head of MedTech since end of July, I'm happy to see the accelerated momentum in our Dental business in the quarter as well as early operational improvements within our Orthopedic business, although we still have work to be done and the market remains soft. In total, we delivered 4% organic growth in the fourth quarter, supported by strong growth in our Dental business and Orthopedics in Europe and APAC. Within Orthopedics, we have implemented a reorganization in the quarter with focus on strengthening commercial performance. We built out our field sales organization in the U.S., and we reviewed and rationalized our product portfolio where we had over 22,000 SKUs and have decided to discontinue over 4,000 overlapping SKUs. We are still in transition phase in U.S. orthopedics during the initial period of 2026. We continue to drive sequential sales improvements, but do not expect Orthopedics to deliver year-on-year growth until later in spring. The recruitment for a permanent Head of MedTech is ongoing and progressing well. The margin in the quarter of 24.6% is a 370 basis point improvement versus Q4 '24, mainly driven by the consolidation of bolt-on acquisition within dentistry in '25. Adjusted EBITA grew 23% in the quarter and 32%, excluding currency effects. For the full year, MedTech grew revenues by 25% to EUR 155.5 million, where our acquisitions within dentistry contributed 30%. Full year adjusted EBITA grew 15% to EUR 39.6 million. Veterinary Services delivered another strong quarter with 10% organic growth. In October, we completed the acquisition of a local service platform in Belgium with 300 member clinics and passed the 10,000 milestone when it comes to member clinics, closing the year with 10,900 member clinics. As previously communicated, we are accelerating our investments into new geographies and services in the quarter, taking the margin to 26.6%. For the full year, Veterinary Service increased revenues by 11% to EUR 64.3 million and adjusted EBITA grew 9% to EUR 18.4 million. Michael Thunell, who has been part of Veterinary Services since 2018, was appointed Head of Veterinary Services when I became CEO, and I'm pleased to see how the team has come together and continue to build momentum as the global leading veterinary service platform. Our Diagnostic business reported 5% organic growth in the quarter and a margin of 9.2%, reflecting our investments in new products and personnel to strengthen the companion animal offering. The growth was supported by Blue Tongue outbreaks in Europe and Avian influenza globally. For the full year, Diagnostics grew by 9% to EUR 22.9 million, while adjusted EBITA declined 3% to EUR 2.2 million. As I said initially, we welcomed 5 new businesses in 2025 that expanded our portfolio and geographic footprint. We've seen improving M&A momentum towards the end of the year, with 3 out of these 5 acquisitions coming in the fourth quarter. We've built a stronger pipeline over the past months, and I'm optimistic about the M&A opportunities going into 2026. We continue to focus on successful entrepreneurial-led businesses that can grow and reach their full potential faster as part of Vimian. A good example of that is I-Vet that we signed in December. I-Vet is one of the top 3 in companion animal diagnostics in Italy and forms an important addition to our Diagnostics segment. I-Vet is a typical Vimian acquisition, high-growth, successful and entrepreneurial-led business where the entrepreneur Daniele is highly motivated and will continue to lead the business as part of Vimian. Annual revenues of EUR 5.6 million, where 2/3 of the revenues comes from laboratory services, where they have 3 vet labs in Italy and the remaining 1/3 is from sales and in-clinic diagnostic tests. I-Vet also has a well-renowned educational platform with over 100 courses annually and offer residency program in partnership with universities. Looking at our sustainability, as we now close 2025, we can see that we continue to make important progress within our ESG agenda. Our sustainability agenda is closely integrated into the core of the business and focuses on animal, our people and the planet. During 2025, we educated 65,000 veterinary professionals to improve animal health, and we launched 94 new products to advance veterinary medicine. Our employee Net Promoter Score reached 30, and we have exceptionally high scores from our teams in areas of inclusion, trust and autonomy. On the environmental side, we continue to reduce our emissions in total with 25% since 2022. We also received external recognition for our work with an improved rating at both MSCI to AA and Sustainalytics to low risk. With that run-through of the year and the quarter, I will now hand over to Carl-Johan.
Carl Johan Boudrie: Thank you, Ali. And let me give you some further insights to the financials for the fourth quarter and full year. Adjusted EBITA in the fourth quarter was EUR 26.1 million, an increase of 6%. This represents a margin of 24.0% for the quarter. The margin increase is primarily an effect of consolidation of bolt-on acquisitions within MedTech dentistry during 2025. Also our largest segment, Specialty Pharma, contributed to the margin expansion supported by operational leverage in the business. We reported an operating profit of EUR 19.2 million, a significant 54% increase from last year's result of EUR 12.5 million. Items affecting comparability decreased in the quarter and totaled minus EUR 0.7 million. The majority of items affecting comparability is relating to Medtech. This consists of minus EUR 1.6 million in restructuring costs from organizational changes and inventory write-down as a consequence of the product portfolio rationalization, as well as EUR 2.7 million relating to payments net of litigation costs in the U.S. indemnification dispute. Acquisition-related costs amounted to EUR 1.1 million in total for the group. Net financial items amounted to minus EUR 7.5 million and consists of 4 main parts: financing expenses of minus EUR 4.1 million with an average interest rate of 4.5% during the quarter. A quarterly discounting impact of minus EUR 1.6 million and a negative impact of minus EUR 3.1 million from probability adjustments related to contingent considerations. The probability adjustments primarily relates to stronger performance in our acquired dental businesses. A negative result of EUR 0.7 million from liquidation and divestments of subsidiaries and lastly, a positive impact of EUR 2.2 million from exchange rate effects on the revaluation of debt. Income tax expense for the quarter was EUR 0.8 million, with an effective positive tax rate of 7%. In the fourth quarter, the tax expense as a percentage of pretax profit was positively affected by recognition of deferred tax -- on tax losses carried forward at year-end, amounting to EUR 3.7 million. The effective tax rate was inflated by nondeductible expenses, mainly probability adjustments of contingent liabilities. In total, this results in a profit for the period of EUR 12.2 million with an earnings per share of EUR 0.02 for the quarter. Cash flow from operating activities reached EUR 55.7 million, including payment from U.S. indemnification dispute of EUR 28.7 million in the quarter. Excluding the litigation payment, cash conversion was 92% for the fourth quarter. Net working capital amounted to EUR 96.6 million at the end of the quarter, equal to 23% of revenue, a decrease from EUR 102.2 million at the end of the third quarter, which equaled 24% of revenue. The majority of the EUR 5.6 million decrease in working capital relates to lower current receivables and increase in trade payables. Cash flow from investing activities amounted to minus EUR 17.5 million, primarily relating to acquisitions, earn-out payments and investments in tangible and intangible assets. Cash flow from financing activities of minus EUR 35.5 million from repayment of borrowings. At the end of the quarter, net debt amounted to EUR 245.4 million, which is down from EUR 253.5 million at the end of the third quarter. Cash and cash equivalents amounted to EUR 55.0 million, an increase compared to EUR 51.3 million at the end of September. External lending was EUR 223.3 million at the end of the fourth quarter. This resulted in a leverage at the end of the quarter equal to 2.0x, which is down from 2.1 at the end of the third quarter. And we remain well capitalized with an ability to execute on our strengthened acquisition pipeline. With this financial review, I hand the word back to Ali for concluding remarks.
Alireza Tajbakhsh: Thank you, Carl-Johan. We delivered a solid finish to 2025, and we are well positioned in a resilient market that continues to grow. I'm a firm believer in our strategy of combining organic and acquisition-driven growth, and my focus is to accelerate what is working well and address the areas we need to improve. We have an attractive platform for entrepreneurs, and I'm optimistic about our M&A pipeline going into 2026. I hear frequently from industry peers and partners that the entrepreneurial spirit and the quality of our people consistently stands out. This is something we take pride in, and we will continue to build upon. With our focus on global market niches with unmet medical needs and high growth potential with a strong team in place and with the products and services we offer, I'm confident we can deliver a good 2026. Thank you.
Operator: [Operator Instructions] The next question comes from Kavya Deshpande from UBS.
Kavya Deshpande: I have a couple, please. So the first was on organic growth from here after the very good exit you've had in Q4. I understand you don't give annual guidance, but could you give us a sense of how significant an organic acceleration we can expect in 2026? I ask because you have a long-term guidance for double-digit organic growth to 2030, you're at 7% for the first 2 years of the plan. Consensus has you at high single digits for '26. So that obviously implies quite a ramp towards the end of the decade. Are you comfortable with this cadence? Or do you think we can start to get closer to that double-digit organic growth target sooner?
Alireza Tajbakhsh: Thank you for the question. I think we see an overall -- and the overall animal health market continues to grow, and we have positive business momentum, as I said, in most parts of Vimian. So I think we should be able to deliver good growth in 2026.
Kavya Deshpande: And my second question is just on Spec Pharma and the cross-selling initiatives there. If I have it right, it slowed a fair bit sequentially in terms of the contribution to the divisional organic growth in Q4 of Q3 and also of Q2. Are you just reaching sort of the end of this program? And if not, then how much of a contribution can we expect to come from cross-selling for Spec Pharma and group organic growth in 2026, please?
Carl Johan Boudrie: Yes. Thank you. Cross-selling has been and continues to be a robust contributor to organic growth. We saw in '25, just as we saw in '24, that 1/3 of the organic growth was driven and supported by our cross-selling initiatives. And we are launching, and we launch new cross-selling initiatives going forward. In 2026, 8 new cross-selling initiatives will be launched, while we see continuous runway for a solid contribution from cross-sales in 2026 and beyond.
Kavya Deshpande: Apologies. Just to clarify, so is it 1/3 of organic growth in the quarter because the press release says in 2025, and I think the previous ones give it as year-to-date. Just to confirm that would be great.
Carl Johan Boudrie: The 1/3 is the year-to-date number. So for 2025, 1/3 of the organic growth was supported by cross-sales.
Operator: The next question comes from Adela Dashian from Jefferies.
Adela Dashian: Ali, congratulations on the new appointment. A couple of questions from me as well. Firstly, if we start with MedTech, I believe you said here that you don't expect an acceleration or year-over-year growth until spring. Should we read that as some sort of guidance that you do expect MedTech to return to double-digit organic growth by Q2?
Alireza Tajbakhsh: We see early operational improvements, but we are undergoing significant change with the new sales team fully in place as of January. So I think Q1 or spring will be a transition phase for us, but we continue to drive sequential sales improvements, but we don't expect it, as you said, to deliver year-on-year growth until later this spring. I think that's all we can say at this stage. But I think or I can add to a full recovery will probably require the market to regain momentum as well.
Adela Dashian: And by a full recovery, you mean double digits?
Alireza Tajbakhsh: Yes, the market remains soft right now. So I think the combination of our efforts into the operational side of the business and the market returning to better growth is needed to get to double digits.
Adela Dashian: I see. And then you mentioned also a number of SKUs being discontinued. Could you just -- have those already been discontinued? Or is this an effort that will take place now in 2026 as part of the new commercial efforts?
Alireza Tajbakhsh: We've already initiated the work of discontinuing those SKUs, but there are a few that will be transitioned and discontinued now early this year as well.
Adela Dashian: Would it be possible to quantify what the impact of that was on sales in 2025?
Alireza Tajbakhsh: Limited. This is overlapping SKUs. So the SKUs we are discontinuing, we have equivalent products that are better and more relevant for our customers to buy.
Adela Dashian: Okay. Great. And then lastly, on veterinary services, still a high pace of investments. What's the, I guess, phasing of that? Do you expect a continuation even in 2026 or a slowdown at some stage?
Alireza Tajbakhsh: We see continued momentum in Veterinary Services. It's been one of our segments performing very well for a long period of time, and we see that to continue. The investments we're doing is to ensure that we capture the full potential and the inbound need we get from our partners and veterinarians across the world.
Operator: The next question comes from Sten Gustafsson from ABG Sundal Collier.
Sten Gustafsson: I was wondering if you could give us a little bit of color on the M&A market right now in terms of number of opportunities, price levels on targets? And also where you focus your efforts on? Where do you want to grow? What areas specifically are you looking to go after?
Alireza Tajbakhsh: We see an increased M&A momentum. As we stated, 3 out of the 5 acquisitions we made in 2025 happened in Q4. We're also confident about the building of our pipeline going into 2026, where we see Vimian being a good and interesting platform for entrepreneurs in animal health to join. With the acquisition of I-Vet in Diagnostics, I think we now have 4 active verticals looking at interesting bolt-on or platform acquisitions.
Sten Gustafsson: And in terms of price points, has there been any change, would you say, like compared to a year ago?
Carl Johan Boudrie: No, I wouldn't say that we see a change. We have a historical average of approximately 9x EBITDA, and we are around that average. As previously communicated, typically, platform acquisitions such as iM3 within the dental space come with a slightly higher multiple, whereas add-on acquisitions to that comes with a lower multiple, but the average is 9x.
Sten Gustafsson: Okay. Perfect. And then a quick question on the U.S. MedTech market. What do you hear from your customers? What kind of feedback? And what do they tell you in terms of the market sentiment and activity levels?
Alireza Tajbakhsh: I think the feedback from our customers are similar going into 2026 than during '25 from a market sentiment perspective. But with our approach of now building a field sales team in the U.S., this allows us to come even closer to our customers and together with them, support them in growing the business into the future.
Sten Gustafsson: But sort of what are they waiting for in terms of -- for the market to return? Is that sort of higher consumer confidence? Or what's the sort of inflection point that will drive the market back to normal levels?
Alireza Tajbakhsh: A simplified question on that is, of course, macroeconomics in general. There is still -- I mean, this is Advanced Care. But I think with the macro return, we will see impacts on the business as well.
Operator: The next question comes from Arvid Necander from DNB Carnegie.
Arvid Necander: So first off, on Spec Pharma, do you expect this segment to be able to return to double-digit organic growth in 2026? And if so, it would be great to sort of get your view on what would be the main drivers for this surge in growth? And then secondly, on MedTech, comparisons have become a bit easier, of course. But if we look at the industry data, it seems to have stabilized somewhat since midyear. Do you view this as a genuine inflection point? And how would you characterize the overall market sentiment right now?
Carl Johan Boudrie: Arvid, I'll start with your question on Specialty Pharma. So we have a good momentum in Specialty Pharma. If we look through the full year and if we look at the fourth quarter of 2025, all of our 4 therapeutical areas grew and had a good momentum. In the end of the year in the fourth quarter, we delivered 12% organic growth if we exclude or normalize for the national sales campaign that we did in Q4 of 2024 that we did in Q3 of 2025. So we see a continued positive momentum in Specialty Pharma, and we see that as a double-digit growth business in terms of what will take us sort of to continue to deliver on a good growth momentum. We have a two-pronged strategy in terms of organic growth and inorganic growth. From the organic growth perspective, we are focusing, as we discussed before, on cross-sales, on innovation and on education. And we see that all those 3, let's say, organic initiatives will drive and contribute to continued good momentum in organic growth in Specialty Pharma.
Arvid Necander: Okay. Just a quick follow-up on that one. How would you characterize the pipeline for 2026 versus 2025, if you would sort of size the growth opportunities?
Carl Johan Boudrie: I would -- we have a continued good momentum in the business, and we see continued opportunities to expand in existing areas and to find new growth in new areas.
Arvid Necander: Okay. Fair enough.
Alireza Tajbakhsh: And then to your MedTech market question, I think going into 2026, we see the U.S. surgery market condition remaining relatively unchanged. There are signs of stabilization, but I don't think it's returned to healthy growth yet. With that said, I mean, we are confident in our strong product portfolio and the brands we offer and combining that with the actions I mentioned we're taking, over time, I think we will get back to good growth and also beat the market. But given that we have a new sales team fully in place as of January, we believe that Q1 and spring is still a transition phase, but we see sequential sales improvements quarter-by-quarter.
Operator: The next question comes from Adrian Elmlund from Nordea.
Adrian Elmlund: I have a few questions, please. So first off, could you provide perhaps some more details here into the field sales organization build-out in the MedTech business in the U.S.? And kind of also, we've had a previous question regarding the portfolio streamlining. But kind of could you give some more color, I guess, on what you expect this will impact the business over the coming year? Could there be some positive mix effect?
Alireza Tajbakhsh: I think with the field sales in place as of January, we're convinced that that's the right strategy going forward, being close to our customers and together through our educational platforms and efforts we do drive growth. Given that it's a new sales team in place and the investment we're doing into that, we believe that, as I said before, the spring -- and Q1 and the spring will be slightly soft. But over time, with driving sales up on the back of having a strong and present field sales with our customers, that will also drive margin up. With that said, we expect the margin to be fairly flat beginning of the year.
Adrian Elmlund: And there's no specific mix effect with reducing the SKUs there? In terms of gross margins or EBIT margins?
Alireza Tajbakhsh: Nothing substantial.
Adrian Elmlund: Okay. Another question regarding mix effects. You had some negative ones in the Vet family business. What should we expect going forward? And kind of what were the results there?
Alireza Tajbakhsh: I think the Vet family margin, as we guided throughout last year as well on the back of these investments has gone down, although there are some mix effects as well, but we believe the margin will improve throughout the year on the back of these investments starting to show signs of effect.
Adrian Elmlund: Right. Okay. And regarding here the recruitment of a potential successor here for Kjellberg of Nextmune, kind of what profile are you prioritizing here? And could his departure perhaps prompt any shift in strategy in any way, shape or form?
Alireza Tajbakhsh: No, I think Magnus has been a very appreciated colleague and has built specialty Pharma throughout the last 10 years. We believe that with him departing, we will look for a strong operator, somebody that can help us take the business and continue the successes we've had and take the next step. There's so much more things we believe Specialty Pharma can do and continue to grow. At the same time, the leadership bench within Specialty Pharma and also Vimian is very strong. So I believe the business is run by our strong operators in the market. So I'm confident that what we've built up until now will continue to drive similar success in the future.
Adrian Elmlund: Okay. Last question here. I don't know if I missed this, but what was the main reason here behind the large change in the operating receivables in the quarter? Is this purely the patent litigation? Or did I miss something?
Carl Johan Boudrie: To a large extent, that's driven by the patent litigation as we received EUR 28.7 million in the quarter.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Alireza Tajbakhsh: No, thank you very much for listening in on our Q4 call. As I started off with, we are extremely ready for 2026. We delivered a solid finish to 2025, and we look forward to continue growing the business together with all the fantastic employees we have within. Thank you very much.